Operator: Good day, ladies and gentlemen, and welcome to the Cathay General Bancorp's First Quarter 2020 Earnings Conference Call. My name is Justin, and I will be your coordinator for today. At this time, all participant lines are in a listen-only mode. Following the prepared remarks, there will be a question-and-answer session. [Operator Instructions]. Today's call is being recorded and will be available for replay at www.cathaygeneralbancorp.com.  Now I would like to turn the call over to Georgia Lo, Investor Relations of Cathay General Bancorp. Ma'am please begin.
Georgia Lo: Thank you, Justin, and good afternoon. Here to discuss the financial results today are Mr. Pin Tai, our Chief Executive Officer; Mr. Chang Liu, President and Chief Operating Officer; and Mr. Heng Chen, our Executive Vice President and Chief Financial Officer. Before we begin, we wish to remind you that the speakers on this call may make forward-looking statements within the meaning of the applicable provisions of the Private Securities Litigation Reform Act of 1995 concerning future results and events, and that these statements are subject to certain risks and uncertainties that could cause actual results to differ materially. These results and uncertainties are further described in the company's annual report on Form 10-K for the year ended December 31, 2019, at Item 1A in particular, and in the other reports and filings with the Securities and Exchange Commission from time-to-time. As such, we caution you not to place undue reliance on such forward-looking statements. Any forward looking statement speaks only as of the date of which it is made and except as required by law. We undertake no obligation to update or review any forward-looking statements to reflect future circumstances, developments or events, or the occurrence of unanticipated events. This afternoon, Cathay General Bancorp issued an earnings release outlining its first quarter 2020 results. To obtain a copy, please visit our website at www.cathaygeneralbancorp.com. After comments by management today, we will open up this call for questions. I will now turn the call over to our Chief Executive Officer, Mr. Pin Tai.
Pin Tai: Thank you, Georgia, and good afternoon. Welcome to our 2020 first quarter earnings conference call. I will acknowledge our first quarter operating results. Our commitment and focus today is on supporting our clients, team members and communities during the COVID-19 pandemic. This afternoon, we reported net income of $46.9 million for the first quarter of 2020, a 29.7% decrease when compared to a net income of $66.7 million for the first quarter of 2019. Diluted earnings per share decreased by 29% to $0.59 per share for the first quarter of 2020 compared to $0.83 per share for the same quarter a year ago.  The first quarter 2020 results include a special loan loss provision of $22 million for loan losses due to deterioration in economic conditions in the closing weeks of the quarter related to COVID-19. This special provision reduced earnings per share by $0.19. In the first quarter of 2020, our gross loans grew by $458.7 million to $15.5 billion or an increase of 12.2% on an annualized basis. The increase in loans for the first quarter of 2020 was primarily driven by the growth in commercial loans of $194.3 million due in part due to higher drawdown by our borrowers or 28% annualized, commercial mortgage loans of $147.3 million or 8.1% annualized and residential mortgage loans of $85.3 million or 8.3% annualized.  For the first quarter of 2020, our total deposits increased $397.8 million or 10.8% annualized to $15.1 billion, primarily as a result of new deposits and additional wholesale deposits. We continued our stock buyback program and repurchased 400,000 shares of our stock at an average cost of $32.20 per share in the first quarter of 2020. We will not be buying back any additional shares until further notice. We'll continue to monitor the impact of the COVID-19 pandemic on our financial results and so demand for our loans, deposits, services and products through the second quarter of 2020 and beyond. With that, I'll turn the floor over to the Bank's President and Chief Operating Officer, Chang Liu to discuss our first quarter asset quality in more detail and our COVID-19 initiatives for our borrowers.
Chang Liu: Thank you, Pin, and good afternoon, everyone. With respect to the COVID-19 pandemic, we have implemented several lending initiatives to assist borrowers that are impacted by the pandemic. We launched the mortgage assistance program on April 1st for our residential mortgage borrowers, who are experiencing financial hardship as a result of COVID-19 to provide short-term payment relief for up to 90 days. As of April 24, 2020 we have approved 987 payment deferment requests with an aggregate balance of $434.7 million or approximately 9.8% of our residential mortgage loan portfolio, with weighted-average current loan-to-value ratio of approximately 53%. We began working with our CRE and C&I borrowers that have been adversely impacted by COVID-19 to provide relief, what we can do so prudently through a modification of repayment and/or covenant terms through 21st, 2020, 118 CRE loans with an aggregate balance of $435.5 million as of March 31, 2020 or approximately 6% of our CRE loan portfolio and 2.8% of our total loan portfolio has been modified to provide relief on repayment terms. The average loan-to-value ratio at origination for these loans was 50%.  In addition, 10 C&I loans with an aggregate balance of $50.4 million as of March 31, 2020 or approximately 1.7% of our C&I loan portfolio and 0.32% of our total loan portfolio have been modified to provide relief on repayment terms. We launched our SBA Payment Protection Program on April 6th. As of April 27, 2020 we are in the process of submitting over 900 PPP loans with an aggregate balance of approximately $220 million to the SBA portal. We also launched a micro loan program, the Smart Relief Loan Program, which is independent and separate from any SBA or government backed loan relief programs. The purpose of the program is to help small business owners affected by the COVID-19 pandemic in our 9 state footprint with loans between 5,000 to 10,000. As of April 24, 2020 we are processing over a 100 applications with an aggregate balance of over 1 million. For the first quarter of 2020, we reported net recoveries of $49,000 compared to net recoveries of $2.3 million in the fourth quarter of 2019 and net recoveries of $200,000 in the first quarter of 2019.  Our non-accrual loans increased by $13.2 million to $53.7 million or 0.35% of period end loans as compared to the end of the fourth quarter of 2019. The increase was due to one loan to a chain of tire stores, which is secured by real estate.  We recognized a $25 million loan loss provision in the first quarter of 2020 compared to a new loss reversal of $5 million in the fourth quarter of 2019 and no loan loss provision in the first quarter of 2019. The $25 million loan loss provision in the first quarter of 2020 included qualitative adjustments under the incurred loss model due to the impact of the COVID-19 pandemic of $22 million. We have elected to defer the implementation of the CECL standard for recognizing credit losses as permitted under the recently enacted CARES Act, which based on preliminary results would have resulted in additional loan loss provision in the range of $5 million to $15 million in the first quarter of 2020 if CECL had been adopted.  We also continue to monitor and evaluate the potential impact of the continuing tariffs from the partially resolved trade dispute between the U.S. and China to our loan portfolio. Borrowers that we believe could be adversely impacted by the current tariffs hold approximately 2.9% of our total loan portfolio.  With that, I'll turn the floor over to our Executive Vice President and Chief Financial Officer, Heng Chen, to discuss the first quarter 2020 financial results in more detail. 
Heng Chen: Thank you, Chang, and good afternoon, everyone. For the first quarter of 2020, net income decreased by $19.8 million or 29.7% to $46.9 million compared to the first quarter of 2019.  Diluted earnings per share was $0.59 for the first quarter of 2020, a decrease of $0.24 or 29% compared to the first quarter of 2019 which was reduced by $0.19 per share due to $22 million special loan loss provision related to COVID-19.  Our net interest margin was 3.34% in the first quarter of 2020 as compared to 3.7% in the first quarter of 2019 and 3.34% for the fourth quarter of 2019. There were 2.1 billion of loans at their loan floor rate as of March 31, 2020 compared to 822 million of loans at their floor rates as of December 31, 2019.  In the first quarter of 2020, interest recoveries and prepayment penalties added only 1 basis point to the net interest margin compared to 2 basis points for the first quarter of 2019 and 4 basis points for the fourth quarter of 2019.  Approximately 1.2 billion and 1.7 billion of our CDs mature during the second and third quarters of 2020 with average rates of 1.9% and 1.8%. Non-interest income during the first quarter of 2020 decreased by $7.1 million to $5.8 million when compared to the first quarter of 2019. The decrease was primarily attributable to $10.3 million swing in the valuation of equity securities, partially offset by a $1.4 million increase in wealth management fees and a net change of $1.3 million from the valuation of interest rate swaps. Non-interest expense decreased by $5.8 million, or 8.2% to $65.2 million in the first quarter of 2020, when compared to $71 million in the first quarter a year ago. For the first quarter of 2020 the decrease in non-interest expense was primarily due to a $4.5 million in gain recognized from the sale of foreclosed real estate, a $1.2 million decrease in salaries and employee benefit expense and a $2.4 million change in the provision for unfunded commitments, partially offset by a $3.1 million increase in amortization of investments in low income housing and alternative energy partnerships. The effective tax rate for the first quarter of 2020 was 16.2%, compared to 21.8% for the first quarter of 2019. We completed investments in the solar tax credits funds last week, which we project would lower our full year effective tax rate to approximately 12% to 15%. Solar tax credit amortization was $7.9 million in the first quarter of 2020 and is expected to be $7 million in the second quarter and $4.5 million a quarter in each of the last two quarters of 2020. At March 31, 2020 our Tier 1 leverage capital ratio decreased to 10.82% as compared to 10.83% at December 31, 2019, our Tier 1 risk-based capital ratio decreased to 12.38% from 12.51% at December 31, 2019 and our total risk-based capital increased to 14.12% from 14.11% at December 31, 2019.
Pin Tai: Thank you, Heng. We will now proceed to the question-and-answer portion of the call.
Operator: [Operator Instructions]. And our first question comes from Chris McGratty from KBW. Your line is now open.
Chris McGratty: Heng, maybe I could start on the expenses just for a moment. Could you help us with kind of a reasonable run rate that we should be thinking about the core expenses, excluding the amortization for the next several quarters given the environment turned a little bit more challenging from a revenue perspective?
Heng Chen: Well, we have our annual merit increases for officers in April, that was about typically a 3%, this year it’s about 2%, and that's more or less offset by cut that we have in Q1. So I think adjusted, Q1 would probably be a good run rate for the rest of the year.
Chris McGratty: Okay. Got it. And then on the amortization, did you have the -- I think you provided a -- the solar, do you have the low income housing...? 
Heng Chen: It's up 6 million a quarter. 
Chris McGratty: Okay, great. Maybe just a follow-up to the second question would be, there's a lot of discussion this quarter about some of the portfolios that banks have that might be perceived is a bit risky given the environment we're in. Could you remind us your exposure to several of these portfolios, hotel, restaurants, energy, just the proportion of loans that would be helpful, or any others that you see as kind of higher risk today?
Heng Chen: Yes, I think, I have mentioned to investors that our hotel/motel portfolio has about roughly 300 million. So it's 4.1% of CRE loans or 1.9% of our total loans. Our retail, that’s $1.76 billion, it's 24% of our CRE loans and 11.3% of our total loans. So retail, I think we mentioned in the past a couple -- last year when there was interest in retail, it's -- the LTVs are very low and the debt service coverage ratio is up pretty strong. For restaurants, we have about 170 million, that's 2.4% of CRE, 1.1% of total loans. Most of that is to fast service Chinese restaurants. It's a well -- anyway that -- and then I think those are the categories.
Pin Tai: We also have 104 meter of oil and gas which is about 0.7% of our total loan portfolio, and all of them are reserve-based lending.
Operator: Thank you. And our next question comes from Gary Tenner from D.A. Davidson. Your line is now open.
Gary Tenner: Thank you. I was just wondering if you could go into what the ultimate decision was for you guys in terms of deciding to defer the adoption of CECL?
Heng Chen: Yes, Gary, I think would -- we feel that we were somewhat unique in that, we've been in net recoveries for five years or so, and we haven't had a loan loss provision for those years. And so, what we had to do was we had to take losses or charge-offs from 2008, 2009 recession and the -- so at the -- or the day one adjustment, we have a increase in the all of which we'll mention in our 10-Q, we didn't mention in our 10-K, it was a little bit over 10%. And then when we try to apply these very drastic measures that were economic measures at the end of March. We self accessed CECL for us, whereas property overstates the loan loss provisions given how our overall low LTV. So like about 15% of the midcap banks we chose to defer and then we know that whenever the emergency is declared over or December 31 of this year, we were have -- or we save all of the quarters in 2020. But that's more or less the thinking that we have. We had the choice. We needed more time to really validate our model because of our lack of recent charge-offs and so we felt strongly that the incurred loss model as we have adjusted to captures the COVID-19 represents a fair pressure. 
Gary Tenner: And then just to confirm, when you mentioned the maturing CDs in the next couple of quarters was it 1.1 billion per quarter?
Heng Chen: It’s 1.2 billion in the second quarter, 1.7 billion in the third quarter.
Gary Tenner: Okay. And what's your current 12-months CD rate?
Heng Chen: It's about 1%. We hope to get it little bit lower once the time goes by. In the last six weeks or so, the market, the wholesale brokerage CD market has been -- the rates have been pretty high, but as the stimulus proceeds that come into the banking system including at Cathay, today our loan to deposit ratio is under 100% and so now we can try to be more efficient in terms of the rates we offer for one year CD.
Operator: Thank you. And our next question comes from Lana Chan from BMO Capital Markets. Your line is now open.
Lana Chan : A couple of questions. One, the loan loss provision this quarter of 25 million, how much of that was for potential losses under one C&I credit that you highlighted?
Heng Chen: That was well secured -- one second, it’s been work out we have, it's cross--collateralized other real-estates, it's just that it was past 90-days to maturity. 
Lana Chan : Okay. And of the loans that you mentioned were in modification this quarter or have been modified under CRE or C&I, could you give us a sense of what segments, industries they were in? Is it more retail on the CRE side?
Chang Liu: Yes. Chang here. Sure. There's probably a segment of hotels and motels and then retail was as well. Those are the two biggest categories of the numbers that we talked about.
Lana Chan : Okay. I guess when you look across your CRE portfolio, especially in the retail and hotel/motel sectors and actually restaurants, I mean how much liquidity do some of your borrowers have to sustain a pretty significant drop in revenue over the next couple of months?
Chang Liu: I mean, for us, we are looking at not just the property's cash flow. We're also looking at sponsors, their liquidity and the entire global cash flow at the same time. The three sectors you mentioned hotel/motel, retail, and even restaurants. Collectively, the items that we -- the loans that we have actually been working on from a mass standpoint, they make up for just about 2% of the entire loan portfolio. 
Heng Chen: I want to add that, for hotel/motel portfolio our leveraged LTV is about 45.6%, and for retail it’s about 56%.
Operator: Thank you. [Operator Instructions]. And our next question is going to come from David Chiaverini from Wedbush Securities. Your line is now open.
David Chiaverini: Hi. Thanks. A couple of questions. First, on the provision, as we look out to the second quarter, do you have any sense as to based on how borrowers are performing thus far in the quarter, do you have any sense whatsoever as to what level of provisioning could occur in the second quarter?
Heng Chen: I think, it's going to be more on the economic forecast. So yes, let's say many more states at June 30th, if the majority of the states that we're in have reopened and unemployment has peaked, under CECL you would need less of a provision if and when things are improving. And as far as -- because our borrowers that have weak cash flow now they're under a deferment, under our incurred loss model. We don't count those, that's trouble, that’s in the -- both the regulatory guidance and in the SEC guidance. So, it would not cause a provisioning by itself. It's very hard to graph where things are going to be two months from now. 
David Chiaverini : I can appreciate that. And then shifting gears to some of the more traditional categories. So your net interest margin, what are you expecting going forward over the next couple quarters? 
Heng Chen: We think it varies, I mean I think one is the -- it's the level of PPE and one is because the rate is low, but if they’re forgiven, then we get 2 or 3 points of fee income. But as I said about it, March NIM was 3.23 -- I am sorry, that was April. Our March NIM was 3.23 and then preliminary I think our April was -- we book our fees on the last day of the month. So I think our April would be closer to like 3.15 or a little bit higher than that. So -- and if most of our loans have hit the floors, every month as our CDs reprice, we get a lift from the CDs repricing. So, I think over time if there are no surge of non-accruals and things like that, our NIM should stabilize. But once again, we're not giving guidance as to exactly where it goes. I think one thing, we have increased our floor rates on new loans. So for example, new CRE loans to the extent we get many nowadays, the rate would be in the low 4s, so it's pretty close to our average portfolio and we pushed up the rate for our residential mortgage loans. So, we don't expect much rate compression from new originations. 
David Chiaverini: That's helpful. And then shifting over to loan growth, you mentioned about how C&I saw elevated levels of drawdowns similar to what we've seen across the industry. Just looking forward, what type of loan growth are you expecting in this type of environment? 
Heng Chen: We can't predict for one, because of the PPP. But aside from that, so far in the April, the C&I loan growth has been very muted. And then also the same for residential mortgage and CRE. 
Operator: Thank you. And our next question comes from Gary Tenner from D.A. Davidson. Your line is now open.
Gary Tenner: One quick follow up on the PPP loans, could you tell us what the average fee that you expect on that, weighted average fee? 
Heng Chen: Yes, probably 2%.
Operator: Thank you. And our next question comes from Michael Young from SunTrust Robinson and Humphrey. Your line is now open. 
Michael Young: Heng, just wanted to get an update maybe within the residential mortgage portfolio? And then separately, maybe the commercial portfolios like CRE, can you just tell us how much of the loan balances are generally already in deferrals? And are you guys granting those or are you kind of forcing into a full modification and extension?
Heng Chen: So at the moment, the residential mortgage, we mentioned on the call 987 of the loans have been -- account of loans have been granted approval for deferment. That's about [$434.7 million]. And of that the actual agreement that's been signed and probably booked on our system is about $143.6 million.
Michael Young: Okay. And Heng, I think you said, obviously you guys increased the rate on new resi mortgage I think before you had kind of stated that portfolio may not grow much from here, just given the size of it overall. But in general, do you view as a safer category to grow at this point in the cycle, or are you kind of just wanting to tamp down growth altogether and preserve capital just in case of credit losses, et cetera?
Heng Chen: It's certainly -- I think historically, it's a safer category. And then the risk weighting, it’s only 50%, compared to a 100% for our CRE. So it's very -- it's relatively light on capital. But I think for the last month or two, our staff has been very busy during the late March. And so that's our focus right now is servicing our customers that have been impacted by COVID-19. And then we'll see what June and July, but the more normal months would be.
Michael Young: Okay. And maybe one last one was on geographic exposure. I don't know if it's better to tackle each bucket individually hotel/motel, retail and restaurants. But I would assume that for preponderance of that as in Southern California but maybe you could provide some detail on if any of that’s in New York or Dallas, other cities?
Heng Chen: Yes. It's in our investors slides which is on our website, right? Georgia. But anyways, and it's about 50% of Southern California and about 30% or 35% it’s New York then about 10% is in Northern California, and then like Texas, Washington, those about 2% of the total each of both. So it's predominantly Southern California, New York and Northern California.
Michael Young: And I guess, I was just trying to get att -- do any of those specific categories have an outside exposure to a different geography other than Southern and Northern California like retail or hotel/motel?
Heng Chen: No, I think in terms of hotel/motel I mean that’s more or less spread out in terms of geographies. Yes, yes. Retail probably, a little bit more in California than in New York. But yes, I think uniformly the LTVs are about the same.
Michael Young: Okay. And the LTV that you provided, are those averages for the portfolio? Or would that be pretty consistent from the high end to the low end at this point?
Heng Chen: Yes. Our maximum LTV for CRE in most classes is 65%. So yes, and so that's -- well I mean it's in the 50%, that -- those are current LTVs. So there's been some pay down and some appreciation, but we don't have a big dispersion. We have that more in single family where we have some larger loans where that down payments are higher. 
Operator: And we have a follow-up question from David Chiaverini from Wedbush Securities.
David Chiaverini: Hey, thanks. I just wanted to follow-up on that very last question there on the LTVs. Can you state what the LTVs are for hotel and what the LTV is for retail, and what it is for restaurants? You mentioned how it's low, and you mentioned the 50% figure for overall CRE earlier, but I was curious if you have the LTVs for each of the portfolios?
Heng Chen: This is for the deferment and they’re very close to the average, and then I can call you later, but the hotel/motel is -- it's 46%, retail is 56% ...
David Chiaverini : Restaurant? 
Heng Chen: Restaurant is 53%. 
Operator: Thank you. Thank you for your participation. I would not like to turn the call back over to the Cathay General Bancorp’s management for closing remarks.
Pin Tai: I want to thank everyone for joining us on our call. It's been a challenging time for our country due to the pandemic. As we continue to provide banking services to our communities, we look forward to speaking with you at our next quarterly earnings results day.
Operator: Thank you. And ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may now disconnect. Everyone, have a great day.